Mikko Keto: Good morning from Copenhagen and welcome to the FLS Quarter 3 Earnings Call. I'm extremely upbeat about the IFRS result and where we are at the moment. And if we really reflect where we are coming from, we are fairly close to completing the major transformation of the company. And I'm especially happy about service and PCV performance, which are now at a good level, 80% of the business. 80% of the business is high margin, low risk recurring with a fantastic growth potential. Also another major milestone has been closing of the cement sale. So that is a major milestone for the FLS. For the quarter, we are extremely proud about the service development. Service orders increased organically 10% and the positive market momentum will continue. And we're also looking at this positive development would continue in quarter 4. And then also that we will highlight our growth ambitions in service in our Capital Market Day in quarter 1. When we look at the product business, we've done lots of portfolio pruning over the last 2, 3 years. We stopped taking material handling orders. We closed down the business. We don't do any conveyors. So we focus only on high-technology products with the big aftermarket potential. It has been quiet on that side in terms of orders, but we are extremely busy with the engineering orders and engineering work that we do for the future orders. PCV, fantastic performance year-to-date, 9 months. not so high on the quarter because of lack of the project orders. But one of the best developments in PCV has been that we are converting a lot, we continue to be successful converting brownfield third-party installed base out and replacing third-party pumps for the FLSmidth KREBS pumps. So that is a big success in that part of the business. We are in the low end of the guidance in terms of revenue for the year, but we will deliver EBITDA result that we promised to the market. There are also positives regarding cash flow that Roland will highlight that has been asked about some of you in the past. Good progression in all sustainability targets. And you also see a highlight, which is part of our product strategy. We sold the largest filter tailing system in the world during the quarter. And that also plays our product strategy that we want to be a leader in all core products, typical large heavy equipment for the big mines because they generate a big aftermarket for us. So that is one example that -- of the big wins, which on the headline number is not so significant, but then huge generation of the aftermarket in the coming years. Overall market is same as in the previous quarter. We see both service and PCV market remaining stable, and we can continue growth in both of those segments, incremental growth in the coming quarter and then hopefully then also in the next year. But we will highlight the growth strategy for those in the Capital Market Day. Engineering activities higher than maybe for a very long time. We have engineering orders for projects that have not been sanctioned. In practice means, that we know that what product orders we will get in -- when the project is sanctioned, but it also means that we don't know exactly timing because it depends on customer releasing the project. Still a good level of activity in gold and -- but the headline value of a small coal project is always smaller so that it's $10 million, $20 million type of business there. We've turned the corner in service. And now we start to see growth in service and we continue building on that one. We've done lots of changes to the service business this year. And we expect that there will be a big payback now that start to be visible then in the future. But times are that the updated organization and the improvement in many areas starts to pay off. So we see order intake growth despite -- there has been no project-related orders because if you get project-related orders, it means that you sell project spare parts, wear parts, we haven't had any support from that one. So it's really organic through service growth for the existing installed base. And therefore, I'm really happy about that one. Service profitability. It's a bit on the low side because of the lower revenue months, but a good baseline for services in around 20% EBITDA. And then there will be slight variations, as we discussed last time, depending on volume, low volume, high volume type of quarter. So there will be some variation. But for me, the baseline for FLSmidth service is around 20%. We talk about that product market activity is slow at the moment. But of course, there's a big, big underlying trend in critical minerals. There will be a shortage of copper in the coming years, and we see a fantastic potential for this business when the market will come back. And we have a good position in -- especially in big copper plants. If you think about copper market in the world, about 20 mines, we generate about 40% of the world copper. And then if you turn that what it means to us, it means that roughly 70% of the world copper goes through our gyratory crushers. And we will be giving some of the more data on this one than in the Capital Market Day. But big copper critical minerals is where we play. And when that market will come back, you will see trend changing in the product business. But you need to also bear in mind that we focus on quality of the order intake means that , we don't do third-party content through our books. We don't do EPC. We don't do any loss-making material handling business. We don't do conveyors, we don't do stackers. We don't do reclaimers, all that is gone because that is bad business and no aftermarket. So everything what we have in the order intake of products is there to generate aftermarket. And again, relationship between product business and then service and PCV is about 20% product business, 80% high-profit low-risk recurring business in our books. This will be still a swing in the coming quarters. But we've done a cost out in product business line. We rightsized the organization. We are taking about 250 to 300 people out from the organization. but we focus on having core engineering capability to support all our important products. Because of low volume, this will be swinging, but the target is that this business will be breakeven on a steady state towards end of next year. As I said earlier, the organization is super busy. They are doing engineering orders, engineering for future projects. So we know that there will be what we described, catch-up bottle impact at some point of the future, maybe towards end of next year when we start to see the new capital orders coming in, projects being released sanctioned by the customers. PCV is our best business. This is the most valuable part of FLSmidth. And how we are running PCV is that it's a stand-alone business, high level of independence, go to market is independent from the rest. Synergy element in FLS is that we can sell pump cycles valves as a part of the project bundles and then sometimes sharing the service facilities between the service business line. But it is a very independent business. So it's independent go-to market, independent support, independent manufacturing customer support and sales. And if you look at -- despite the slowest quarter, if you look at the year-to-date performance, 9% organic, we're actually doing really well here. This I'm really, really proud of this business. Now I have a live feed from head of this business pattern. Whenever we are converting out significant competitors, I always get a Whatsapp message from him. And we in the head office and also in the PCV, we always celebrate this conversions because that is meaning that we are gaining market share. We don't see any prospect of significant variation going forward in PCV, EBITDA margin, it's stable and it's all about how fast we can grow the business. low-risk, high-profit business. And these numbers, including both capital products and also service. Then handing over to Roland for more detailed financials.
Roland Andersen: Thank you for that, Mikko. And adding up the 3 business lines, which is now our continued business, yields revenue of DKK 3.4 billion, almost DKK 3.5 billion, 34.7% in gross margin. And netting out our operating income and also our transformation separation cost is with one-off nature. Our adjusted EBITDA equals DKK 530 million and an adjusted EBITDA margin of 15.3%. Profit and loss from our continuing operations after tax and finance is then DKK 298 million adding discontinued total profit for the period for the group is DKK 394 million. Our gross margin compared to same quarter last year is up. It's driven by better mix, obviously, also a better mix within the business lines and also compared to last -- same quarter last year, our noncore activity segment is obviously out of the numbers. SG&A cost is on a good trend downwards as we have talked about for a while now. Now it sits in the numbers and the total DKK 664 million in the continuing business includes our transformation and separation costs of DKK 52 million in Q3. All that means that our underlying earnings in combination continues. So we are now at 15.3% EBITDA margin for the quarter, absolutely in line with our expectations. Our net working capital is flattish Q-on-Q. We have had a good one on trade receivables collections, and we have, so to speak, spent that in building inventory up, especially in the service business line, but also a bit in the PCV and we expect that most likely to continue in Q4. So our net working capital ratio on the continuing business of 12.4%. Also, again, in Q3, we had a healthy cash flow. Cash flow from operating activity is DKK 478 million and netting of investments, a free cash flow of DKK 358 million, so a couple of good quarters, cash flow-wise, the last 2 quarters. That means that our leverage remains low, 0.6x like we had it last quarter. And at the same time, our share buyback program is progressing well. We are bit more than half done yesterday, and we will continue steaming forward with that . As Mikko mentioned, we have adjusted our guidance to the lower end of our previous guided interval on revenue. So previously, we guided DKK 14.5 million to DKK 15.0 billion, and we are now saying we will be in the lower end of that range, so around DKK 14.5 billion. The adjusted EBITDA margin of 15.0% to 15.5% remains unchanged. And when we talk about adjusted EBITDA, we are excluding transformation and separation costs of around DKK 200 million for the full year in '25, and we are also taking out what we call the operating net income of one-off nature. And this year, this has been sell-off of a few sites and service center in small site in Turkey and a few other bits and pieces we took over from Teekay that is now starting to leave the balance sheet. And with that, I'll give it over to Q&A.
Operator: [Operator Instructions] Our first question comes from Chitrita Sinha with JPMorgan.
Chitrita Sinha: I have 3 questions, please. My first question is just regarding the comments and release on execution in the quarter. And just wondering what level of confidence you have for Q4 deliveries and then 2026 as well.
Mikko Keto: The -- you mean release basically revenue, how well we do revenue in the fourth quarter.
Chitrita Sinha: Yes, exactly, yes.
Mikko Keto: We expect that service to improve. It was a low revenue quarter for service, and we were building backlog book-to-bill and we are expecting service to improve in revenue and PCV to do well as well. So normalize that there wouldn't be built up on the book-to-bill so much on fourth quarter.
Chitrita Sinha: Okay. Understood. And then my second question is just on the product orders. I mean -- of course, it can be quite lumpy and talking about some softness there. But even taking into account the India order, I guess, the underlying order intake was weaker than the DKK 500 million to DKK 800 million that you've previously spoken about. I mean looking into Q4, maybe even into '26, I mean, is the DKK 500 million to DKK 800 million still the ballpark that we should be thinking about? Or perhaps could the range be a bit lower?
Roland Andersen: Yes. Thank you for that. I think that range was before the business line split right. So that included the capital part that now sits in PCV. So I think it's important to remember that DKK 100 million to DKK 200 million sits in PCV on a quarterly basis roughly. And that means that DKK 500 million to DKK 800 million is now maybe closer to DKK 400 million to DKK 700 million or so.
Chitrita Sinha: Okay. Really clear. And then my final question is just on the pump cycles and bulk business. Just could you give the magnitude of the order in this comparison period just so we can understand the underlying development?
Roland Andersen: Yes. I think that's a rough guess, right. So we have included comparison numbers to the extent that we can. But maybe DKK 100 million that is of large nature or so.
Mikko Keto: So service and conversions continue at a good rate, and we were missing a bit of that boost from projects where PCV is part of the bundle.
Operator: Our next question comes from Christian Hinderaker with Goldman Sachs.
Christian Hinderaker: My first question is on modernization where you've talked about -- talked about some adverse timing effects. I guess first off, can you remind us the scale of that within service over a typical year? And then do those third quarter effects in any way relate to some of the product production issues that are facing customers Grasberg, QB, Cobre Panama, et cetera. I guess just curious why growth there is soft when your nearest peers growing double digits in that area and calling out quite a strong backdrop.
Mikko Keto: I think how we do the services that we don't have a multiyear contracts in our books. So we like the kind of steady going. So as I said earlier, how we book things is transactional. We don't like to book kind of multiyear contracts at [indiscernible] because then it creates a kind of fluctuation in order intake. So our business is mostly spare parts, wear parts, and then there has been modernization like kind of modernization of mill, for example, that we are doing in South America replacing kind of critical parts of the mill sales and that of things. So it's -- so how we do things is that we try to kind of keep it steady rather than kind of a booking multiyear contracts at 1 go because we -- service would be stable. So that's one thing regarding our philosophy of bookings. But the business is wear parts and spare parts. And of course, a big part of the spare parts, there's element which goes to modernization and typically that part of the spare part, what we call capital spares, because you are refurbishing upgrading mill maybe once in every 10, 15 years, not more often. So in spare parts, recurring is, in rough terms, maybe 70% and the capital spares, which are often part the modernization is 30%. So that is viable part of the service business. So regarding the sites, Corporate Panam was biggest PCV customer in our books. So that was -- when a site is still not active, I think for 2 years or more, it was a big loss for PCV, but we have recovered that one. So that, of course, year-on-year comparison, no impact anymore. Then Grasberg is customer wow, so that will impact our service and PCV business in '26, but we are -- we believe that we can compensate Grasberg kind of lack of business because of the disaster they at the site. And then QB2, we actually very active at the site, helping customers to kind of fix some of the underlying issues. So we actually do a lot of work for QB2 in helping customer to resolve the technical challenges, what they had at the site. So maybe only one which is Anakam, which is HPGR customer, it has a less of an impact because it's HPGR service site for us. So it's mainly the biggest impact is Grasberg, and we believe that in APAC area, we are able to compensate for the increasing other businesses in the region.
Christian Hinderaker: You mentioned success in the pump field trial conversions. I just wonder if you can elaborate on that in terms of the composition of those wins in terms of regional mix or metals exposure.
Mikko Keto: I think we are typically working in the major sites. So our strong presence is in the large kind of typically most common is copper site in South America, that's the most. And we are focused on converting large pumps where our performance basically is superior against the other competition. So we have quite a good success for the mill discharge pumps which is the large pump part after the mill, which is highway rate, higher aftermarket. So we are focusing on kind of high-value conversions. So it's typically where we are strong. Otherwise, we have a good presence at the site, which is a big copper.
Christian Hinderaker: And maybe just some extension there. Obviously, PCV, you've made a lot of progress in terms of improving that product in recent years and obviously seeing some wins, which is nice. I guess just curious about as you seek to grow that business and indeed, maybe other peers have sort of followed suit in terms of strategy? How do we think about pricing in that segment going forward?
Mikko Keto: Don't see any pricing pressure because conversions are always technical decisions. It's never a price decision because for the mining side, it's not a big kind of CapEx or item to replace the pump and you can convert it to OpEx as well. So it's -- we don't have any pricing pressure on the conversions. Pricing prices only if the pumps are part of the project bundle and there's a pricing pressure for the full bundle. So that's the only case where there's pressure. And regarding our go-to-market, I think it's different from the competition because, as I said, it's -- you can think almost as an independent business is the most valuable part of FLS. We run it independently with the synergy in capital sales, in the project sales, [indiscernible] sometimes sharing same service asset as the rest of the service. But if you look at the pumps, it's independent business, and that's how you should run it we'll soon see in capital sales as soon as sharing some of the assets. But you can look at it as an independent business.
Operator: Next question comes from Christian Thalin with SEB.
Christian Thålin: Yes Mikko, you mentioned that the service revenue was low in Q3 and you expect that to pick up. So again, we see service orders up quarter-on-quarter, but revenue down. Can you just elaborate a bit on what's slowing it down in the third quarter?
Mikko Keto: We made a massive transfer of the current resources to the shared service locations and there was a little bit longer time in certain admin part of the business, so executing orders. So it's something that we knew this is going to happen, but it's -- but it's nothing significant. So underlying business in terms of supply chain performs well in terms of our sub-suppliers or for supply chain. And I would say the slowness in internal order execution some impact, but it's -- we knew that when you change the operation model, there's always a small slowness there, but it has been fixed. And therefore, there's nothing underlying issues in execution of a service in terms of revenues.
Christian Thålin: Okay. So here in the beginning of Q4, you were back at sort of a normalized execution level again?
Mikko Keto: Yes, we expect that we recover. I don't have an exact number in my mind. And of course, we don't even know it, but we don't have a kind of significant -- we don't have underlying execution issues in service. So the supply chain is in a good shape.
Christian Thålin: Fair enough. And then my other question was just on the impact of high gold and copper prices. So just curious whether this increased cash flow to your customers is having any impact on your direct dialogue with customers. And equally, you mentioned this record high engineering activity, to what extent do you think that's influenced by very high measure prices?
Mikko Keto: So inside our baseline numbers, if you look at the full year, and we don't announce smaller contracts, there's quite a lot of activity in gold. And one area where we see is Africa and Central Asia, which are kind of -- where more and more small gold mines are developed. And of course, then the CapEx for smaller gold mines is always less, but we have good position there. So we have number of totally new customers in Central Asia. And in those customers, typically that if you help them to build a plant, then it supports the kind of healthy aftermarket in the coming years. So behind the kind of slowness in copper, which is the big numbers. We've seen healthy activity in gold, and there are new gold mines popping up here and there. And typically, licensing is easier because the footprint is smaller. And now they are coming up in the regions where the licensing is faster and permitting is faster. That's why we're highlighting the Central Asia as a region and Africa where the activity is high. Well, copper is still in waiting, and we are a leader. That's a sweet spot to us. Pickup, as I said, if you would calculate how much of the world copper goes through our equipment and our kind of crushing and milling, we have outsized market share there compared to the rest of the kind of mining. And when the copper will come back, we have a huge benefit that we are incumbent existing supplier to most of the big copper mines. So typically have a significant benefit and high chance of winning expansion if your existing supplier to the kind of previous 2 lines. So and most of the engineering activity costs for the -- at the moment where we are really busy is copper plant expansions, adding a line, adding capacity. So that's where the activity is high at the moment. But we don't know when customers will sanction release the projects, there has been continuous delays. But typically mining industry, everybody does it at the same time. When it starts to happen, then that's why this part is super cyclical. But in the meanwhile, we focus on 80% of the business, which is service and PCV. And we are adjusting our cost base. So we are not actually dependent in our performance too much on the capital cycle. And that has been the whole idea that service PCV is 80% high profit recurring, growing and then the extra bonus is that when copper cycle will come back and we get new installed base that we can service. So it's the whole business model is like that.
Operator: Our next question comes from Casper Blom with Danske Bank.
Casper Blom: Thank you very much. Most of all, actually a couple of follow-ups. You just touched upon legal that it take some time a bit longer to execute orders given your inherent, is that also the comment that you give in the introduction to the quarterly report where you, well, you say that you recognize that you need to do more to strengthen more execution. Is that specifically that? Or is there other areas also where you think that execution is not good enough yet. That's the first question.
Mikko Keto: So in terms of order execution and revenue, we've been improving our supply chain a lot, meaning that concentrating a few critical suppliers, helping them to improve the performance, and also streamlining our internal operations and because historically, we've had not super efficient internally. So now quicker wins in order execution is actually in our hands, so it's FLS internal kind of how we process orders, how we do all that. So it's continuously improving and still not where it should be but it's all right. And then regarding capital business, order execution, we are in better control of the backlog than ever before in the history of this company. So the kind of risky stuff is out. We know exactly what's going on. So there's more predictability now in the product business for the revenue. So I think -- and also that maybe highlight is that we've done the new ERP system in PCV operations, and you haven't seen any negative impact from that one. So we are slowly but carefully improving the internal operations that ensure execution. So PCV with the biggest pump factory what we have in the world as a new ERP system that they'd be running and we haven't really seen significant issues during that transition to ERP. So I think I'm confident that this low-risk approach to the internal processes that we improvements in the way that it doesn't upset the company in terms of operation. I don't know if we answered your question, but...
Casper Blom: Probably as far as we can take it. Then a second follow-up on the comment that Roland gave about what to expect on product orders, you mentioned DKK 400 million to DKK 700 million per quarter in product orders. I suppose that's only until you expect that we see some sort of turnaround at some point and if and when that turnaround hopefully comes in towards the end of '26, any kind of idea of how fast we could see it improve and to what kind of levels? I mean are we talking about are doubling? Or can you give any kind of indication?
Mikko Keto: Yes. I think we addressed that in the Capital Market Day more in detail because I think we are in the low end of the cycle. And we are super, super disciplined what we are taking in because in the low end of the cycle, you have a -- we promise action to the market because I remember when we started transformation, said that somebody asked, "Hey, if there's going to be a low end of the cycle, do you have a kind of a stomach that take only good orders in and don't take anything that you regret later." And I think we'd be super disciplined in our portfolio and what orders we take in making sure that when the business will turn, we only have a high-quality backlog. But we will detail those estimates, what would that be in the high end of the cycle. Now we are looking at the low end of the cycle and then we will show you some estimates of what it could be, but it's -- we don't want to do that before the CMD.
Casper Blom: Fair enough. But if I may just follow up, Mikko, when you say you've been disciplined and full respect for that, I think it's the right thing to do. but I think also maybe we came to a point where we were a little bit too disciplined. With the new heads in service and products, are you now sort of taking the orders that you should? Or are you still missing out on something where you may be a little bit too conservative?
Mikko Keto: I don't think so. And I think now we turn the corner in service as well that if you remember that we exited basically labor so that services also is basically spare parts and wear parts to 80%. And then, of course, that's all high-profit, low-risk business and a part of those spare parts to go to the upgrades refurbishment. So -- and if you look at the world market, I think what has been moving is actually small mines and kind of maybe not -- and the reasons that are not in our sweet spot. As I said, our sweet spot is critical minerals, copper in particular. And when the South America, North America copper is quiet then you see that one because we are dominating the market in largest of the equipment, largest mills, large HPGRs, all that to things. That's where we -- when that market will come back, then that's where we are dominant. So it depends also on which part of the world, which segment is moving. And if you look at then the demand estimates for the copper in the future, you can see that current capacity in the world is not able to fulfill the demand. Short-term customers are focused on maximizing profitability, dividends, share buyback, but the CapEx will come back to copper and there are lots of plans in South America for expansions. But when they are released, we don't know exactly.
Operator: The next question comes from Claus Almer with Nordea.
Claus Almer: Also a few questions from my side. But first of all, congratulations with the strong margin you again achieved in the quarter. The first question goes to the PCV and the order intake. It is a bit difficult to compare momentum given how strong Q3 last year was. So how did Q3 actually develop compared to your own expectations? That would be the first one.
Mikko Keto: It was in line with the expectation because the project activity was slow. And I think now with the low -- smaller reporting segments, I think look at quite a lot kind of rolling average is year-to-date over 2 or 3, 4 quarters. So that will tell a story. I think because of the size of reporting segments, there's more variability. But if you look at the -- year-to-date development, organic 9% is, I think it's fantastic. I don't think anybody is growing faster, the pumps market. And we expect that to continue at a good level. So we -- and also that we have plans to more boast even further the PCV sales. And as I said, it's quite independent business. And if you look at it, it's underlying profitability of the business, how steady it is really, really valuable part of FLS. But we are investing to that business as we speak. We are taking cost out from other parts of the business. We are investing, as Roland has highlighted quite a few times that we are investing in the front line to make sure that we are close enough to the customers. So yes, it's a fantastic business, and it's -- we expect to continue to grow that. But look at it a little bit over the quarters, 1 quarter is just kind of a snapshot of the business.
Claus Almer: Sure. Okay. And then my second question goes to the backlog as we have heard about or learned about it during this year. So the project that has been delayed from this year, what drives the delay? And secondly, has a new delivery date being agreed with the customers?
Mikko Keto: So I think in the projects, there has been some discuss with the customers, for example, they didn't want to receive the equipment so early and that type of thing. So it's more customer related in the projects. And in service is okay, the revenues, but it could be higher in the quarter. So in services is more internal, not supply chain related that we are in the process of fixing. And then in project business in the capital. Usually, it's more customer dependent that customer wants us to delay something or we have -- we are trying to resolve some of the issues related to that particular project. So it's -- but I don't really have a concern for the revenues and order execution. But you are right that we need to get back on track in service so that we can estimate better and generate more revenues. But there's no big underlying issue. As I said, supply chain works, we are getting orders and it's more the internal products and admin that has caused some small delay. But it's not massively big, but it's having some impact.
Claus Almer: Sure. But maybe to -- I know the change of your revenue guidance has been both impacted by these delays, but also FX. So it's a little bit difficult from the outside to know what is what. But I guess, what I don't know, DKK 0.5 billion to DKK 1 billion of revenue that has been delayed for 2025 into the future. Should we expect that to come in '26 instead? Or is it even far out before the revenue recognition will happen?
Roland Andersen: Yes. So Claus, we expect that to come in '26. Now what happens to FX is a different thing. But the delays that we talked about in the products business, and also us getting in place in the global business centers, order execution and so on and service business line, that will slowly improve and improve revenues in Q4 and also first half of next year. So it's not lost.
Operator: The next question comes from Tore Fangmann with Bank of America.
Tore Fangmann: Just one more from me. You flagged the near-term demand from the small gold projects. Could you maybe elaborate a little bit on the size of potential orders and basically, what does near term actually mean for you? Is it something that we will see in the next 1 or 2 quarters already or just something maybe into '26?
Mikko Keto: The gold are so small, so that they are part of the baseline that we don't announce. So as we said a few times, we don't have so many day-to-day small products and orders there. So everything is related to expansion or then new CapEx or new project. And those baseline figures, if you look this year, they include the gold projects. So they are below our reporting threshold typically. So in that sense, it's part of the baseline business. So you will not see any massively big orders in that business because most of the new plants are smallest and the CapEx is small. But it's still a good business for us, and we have a good position there.
Operator: The next question comes from Lars Topholm with DNB Carnegie.
Lars Topholm: Yes. A couple of questions from me. First, a household question to the order backlog in products which is up from DKK 4.9 billion to DKK 5.1 billion, even though your revenue is DKK 300 million higher than your order intake. I just wonder how that can happen?
Roland Andersen: That I have to come back on, Lars. That I have to come back on.
Lars Topholm: That's okay. Then a second question, Mikko, you mentioned in PCV, there's a capital business and the service business. And now, of course, we guess the capital business is somewhat subdued for all the reasons you have mentioned. I just wonder if there's a difference in the margin between those 2 parts of the PCV business? And if there's say any implication for your ability to defend current margins into an upturn.
Mikko Keto: So the margin in the service side, which is most -- or our aftermarket, it's most of the business, let's say, depending on the quarter, let's speak 70%, 75%. That is very steady and good in terms of margins. And only margin differences are in the product -- let's say, that the product part of the business is 25% or 30%. So within that mix, if we sell product as a part of the project, then it's much lower margin, than if we sell the conversion because conversion product is a technical decision by the site, price doesn't matter if the product performs. So in that sense, it's a small impact, but then you're talking about within that 25% that there's a difference that if it's project order for product and it's lower margin and then if it's a conversion, then it's higher. So it's -- we can defend the margins. So vulnerability is so small, but it's all in that kind of, let's say, 25% bucket and a mix between project-related orders and conversions.
Lars Topholm: Okay. That's very good. Then a question on the cash flow. So you have a lower use of supply chain financing. I guess that hurts your cash flow. So I wonder if you sort of neutralize that, what would the cash flow impact be?
Roland Andersen: Yes. So I think utilization of the supply chain financing out of the quarter was about DKK 300 million, right? And the DKK 100 million belongs to cement. So the continued business would have DKK 200 million left and we roughly say that half of that is improving net working capital.
Lars Topholm: On cash flow is actually a notch better than what we can see in the raw numbers.
Roland Andersen: Yes, you can say that excluding the supply chain, yes. 1/3 of that supply chain is disappearing with the Cement business. There's a lot of the cement customers on that, and we have been unwinding that over the last 6 months or so.
Lars Topholm: Then one final question. How should I think about absolute SG&A costs going forward? I'm thinking Q4 and 2026 versus the current run rate?
Roland Andersen: Yes. So SG&A costs will come down from where they are today. And then there are some FX back and forth in that, of course, but we are still not done taking costs out.
Mikko Keto: And Lars, the whole idea is that we make a platform that is totally scalable, both in service products and PC so that we have a kind of corporates and lean SG&A and then we can scale with the volume. So we are still addressing the kind of support function costs pushing activities out from expensive countries to cheaper countries and getting efficiencies. So as I said, products business line have taken out 250 to 300 people, and it's not sitting in yet for the SG&A reduction. Of course, there's some inflation always in the labor cost as well. But you will see improvement in absolute terms. And also that the full benefit is visible when the market will come back and we keep it the same. So it's -- we are becoming a highly scalable platform for the future growth.
Lars Topholm: That is very, very clear. Final question on my side. You have previously mentioned that to close the margin gap to Metso you needed to be 1/3 larger and you needed to do M&A. I just wonder, is that still your view? Are you actively looking at anything? Should we expect bolt-on acquisition, say on the end of 2026, what's the status there?
Mikko Keto: So we have a number of bolt-ons in the pipeline. Of course, timing is a little bit difficult to say. But we have -- and now when we are -- we'll be focused on selling and shutting down the bad businesses, kind of exiting cement, selling the -- getting rid of the material handling businesses. So it's -- we will actually -- we don't know when those will kick in, but we do have an active pipeline, and we will detail in CMD to your disappointment based on some of the earlier comment that we are limber, but we have a good pipeline. And now we are focused instead of selling, we are focused on buying.
Operator: The next question comes from William Mackie with Kepler Cheuvreux.
William Mackie: A couple of questions, 3 actually areas. So firstly, sticking with products, Mikko. You've talked about lowering the structural cost base and reaching a breakeven by the end of 2026. Ccould you just share some of the core assumptions about reaching breakeven? And with regard to -- are you thinking volumes flat and you brought the cost base down to reach breakeven? Or are there some assumptions for growth embedded in your '26? And at what point should the products area start to reach a kind of normalized margin through cycle margin flight path. That's the first question.
Mikko Keto: So we don't expect growth in '26 yet. And we are building the baseline based on the kind of steady volumes and then to be close to breakeven end of the year. So and then we are taking cost out where we can. And at the same time, we need to have enough engineering capacity because we are winning future orders now because engineering activity is ongoing. But we are kind of -- all the initiatives to bring the cost level down is completed over the next 6 to 9 months, and then the full benefits should kick in before end of the year. But then it's just kind of a headline estimate so that whether it's 0 or plus 1 or minus 1, it's just kind of thereabout. But we want to make it scalable so that when the market will come back, and we will estimate what is the upside in the kind of peak market that we can support the business for the same SG&A and then just scaling the engineering resources or what we have in India. But I think we'll gain detail that. We are actioning as we speak, but we will detail the impact then in CMD.
William Mackie: Following on from that and the discussion about cleaning the product portfolio, to what extent should we look at the '25 numbers as having -- as you having fully exited the nonattractive conveyors, material handling and other areas that you've mentioned as lower margin and less attractive. Has that all left the portfolio or is there more of a transition effect that will take place this year and into next year?
Mikko Keto: No more transition effect. And if you look at the business today, most of the business is coming from 9 to 10 core product areas. And those 9 to 10 core product areas generate most of the aftermarket. So it is complete. And the portfolio what we have is basically -- yes, that portfolio change is complete now.
William Mackie: The second question area was related to service. Perhaps you would just run through the major changes you've made to the reorganization, which we've touched on a couple of times and the verticals, either regional or the verticals you're now focused on, but perhaps more specifically in relation to working capital, are you happy with the footprint? And I saw you've invested in inventories to raise service levels this quarter. Is that process now over? Or should we expect further growth in inventory days?
Mikko Keto: So first about footprint, we still have some white spots in the market. If we look at the global market in where we are less present. So we will continue increasing coverage, either more targeted acquisitions, or then investing our own resources. So we still need to continue that work. And the business is basically what is called [indiscernible] model, the commercial is driven by the global business line and product lines. And then the sales front is, of course, in front of the customer. And we are investing a lot to sales excellence. We're upping the organization -- has been not commercial enough in the front end and that kind of organization update continues. But operation model more or less is what we want to have, it's working well. And now it's more about people getting right people in the right places, inventories continue to increase. And I think Roland the kind of network capital continue to go up. And if you look at the peer group it will be 4 percentage points possibly to that.
Roland Andersen: Yes. So thank you for that. So as I said, we will continue to invest in inventories, right? And the 12% may be going up from here and also on the Capital Markets Day, we'll give you more longer-term numbers on that. But the intention is to sort both the PCV business and the SBL business, with inventories a bit closer to customers, not dramatically up from where we are today, but more proximity.
William Mackie: The last question area related to PCV again. Great that you have an open Whatsapp line for product wins on your pumping business. What happens if you lose a competition? Do you also get a Red WhatsApp line? So seriously...
Mikko Keto: Yes, we do actually follow the -- what is called competition balance, what we are losing what we are winning, but it's quite evident looking at the losses and wins that it's mainly winning. But of course, you lose something every now and then as well. So it's -- but it's very positive what we see. And it's building the confidence that we have a best product in the market. Traditional footprint hasn't been wide enough. Our local presence has not been wide enough. So it has been not about product in the past, but it has been more about operational model. And that's why running it independently, having dedicated PCV resources, close to customers at sites, assembly repair facilities, near the sites. So that has been product. We knew that we have a winning product, but we haven't had a winning kind of presence in front of the customers. And now when we are improving presence, then it seems that we are winning the business because technical, the product is really good.
William Mackie: I mean there's one very large competitor in the market and one of your German competitors gave a CMD and called out a #2 position. How would you describe your market share in pumps? And where could it go?
Mikko Keto: I think we are #2 in the market. And of course, if you start including water pumps and something that nobody should be interested in because there's no aftermarket, you can have a different market shares. But if you look at what is really going to hardcore mining, which is mill discharge pumps and slurry pumps at the mining side, we know that we are #2 in the market. And the pump market as a whole is huge. You have a world full of water pumps. But of course, you know that if you are at home that you don't need to replace them ever and they last forever. So it's -- that is not our business. But in the core mining, we know that we are #2.
Operator: Our next question comes from Klaus Kehl with Nykredit.
Klaus Kehl: There's been quite a few questions about this ongoing cost out program. But you didn't really answer the questions about the absolute cost reductions there going forward. And perhaps that's fair enough. But did you say that you have taken out 250 people, which is not reflected in your SG&A right now, and therefore, yes, I can see that the cost saving in the P&L. That would be my first question.
Roland Andersen: So that exercise is ongoing in the product business line. And they are not all SG&A resources. There will be resources also on the cost of goods sold. So it sits in the gross margin. So you can't move it directly one to one. But you will see the head counts changing over the next couple of quarters.
Mikko Keto: But we are really pushing hard for the absolute DKK cost targets internally, but we don't communicate the absolute target externally, but we have -- we continue. And I think once we are out of it, I think -- despite a decrease in the volume, which is because of portfolio changes, there was a concern that we will take bad business in just to kind of justify SG&A. So we haven't done that. When we kind of trim the portfolio to have the right products in the portfolio. We are rather taking cost out than taking bad business in to justify higher SG&A. So we have a really, really aggressive cost target internally and sometimes you get to 80% of your aggressive cost target. So that's why we don't communicate externally. But you can continue to follow the absolute number in the SG&A line, and you can see that trending down.
Klaus Kehl: Okay. But did you say 250 people? Or did I...
Mikko Keto: Yes, that's the part is COGS and SG&A people. So we are -- because sometimes you need to look at both. You have inefficiency both in COGS and SG&A. So it's -- we are looking at -- because it's just a different line item, but it's still a cost.
Klaus Kehl: Got it. And then my second question is that, yes, we talked quite a lot about gold, but what about silver, the silver price has also been skyrocketing here in '25. So any comments to that? Or is it a -- is it a very small market for you guys?
Mikko Keto: It's a smaller market. We have some activity. We are working with a couple of silver customers who are looking at new investments. So there's activity, but as a market is small, but we have a good position in silver. So it's -- just if you look at the size of the market, copper is biggest, gold is second biggest that's why we talk more about that. And then you have a whole host of other commodities. But yes, there's some activity in silver, and we are working with a couple of cases there as well.
Operator: Our next question comes from David Farrell with Jefferies.
David Richard Farrell: I've got 2 quick ones. Firstly, just can you talk about cash flow from operations, clearly performing very well in the quarter. You've previously given guidance that this wouldn't exceed DKK 1 billion for the year, but it's on trend to do so. So maybe you might like to clarify that guidance around CFFO for the year, please?
Roland Andersen: Yes. Thank you for that one. And we still expect a positive CFFO in Q4. So I think we'll have to say that CFFO for the year will be slightly above DKK 1 billion.
David Richard Farrell: And my second question just comes back to kind of the dynamics between PCMV and the products business in terms of thinking about some of these major tenders you've got going forward. How likely is it that kind of you would combine your teams to kind of tender together for a project and not allow the PCMV business to operate wholly independently in that tendering process?
Mikko Keto: So basically, we have a capital sales team, which is project sales. and they are pulling together kind of portfolio from different parts of the organization, something from also from service, some are first-time spares, some wear parts and they do also include the pumps. And regarding that big India case that we had, iron ore in the first part of the year, we got all the pumps to that site. So all parts of the process. And so it is independent. And that's why I said, synergy areas for PCVs projects sales. They are included in the bundle. PCV gives a price and the kind of -- but it's part of the bundle, but it's a sales channel for PCV in major capital opportunities. But if you look at then the conversions at the site, it is totally independent. Of course, there's synergy that we have service present at the site and PCV, so we are more present as a company, but that is totally PCV independent and then services independent. So we know that we get more out of the business if we run it kind of stand-alone, fully focused. But of course, the team is using capital sales or project sales as one channel to get into the bundles. But the numbers are totally different. So if it's part of the bundle, there's incentive for the project sales team to sell those, but then the number still sits for the PCV.
Operator: The last question comes from Xin Wang with Barclays.
Xin Wang: I'll be quick. The first one is adjusted EBITDA margin in the quarter. Is there any one-off in any disposal impacts or provision release?
Roland Andersen: Yes. So provision release, not so much. But what we have had, we've sold a few summer houses. So that's an income. And then we have our transformation and -- transformation and separation costs. So both are netted off and it's DKK 52 million in costs and its DKK 22 million in income. So net-net, DKK 30 million out.
Xin Wang: That's very clear. My second question is on HPGR. has recently decided to reenter the mining market through its cement arm that will offer a suite of products, including HPGR. Do you think they will be able to capture more market share improvement or recruit some of the installed base in aftermarket?
Mikko Keto: Absolutely not because we have all the service facilities close to the mining side. And we have a much better supply chain. We have a total different supply can to what it's much better in terms of the cost. We have service repair centers around the world. So they may make noise, but we have 0 concern about them. I think they are not capable of entering mining market. It's just kind of -- so it's -- we are not really concerned at all. And I think we've done so many improvements since we took over the business.
Xin Wang: Great. My last question maybe is a follow-up on the service business. I think you've given the vast splits of the business being 80% spare parts. Can you maybe give us a rough idea of the relative profitability of different types of service orders as well?
Mikko Keto: I think typically we don't give the details, but if you -- that 80%, if it's wear part and the spare parts. So the spare part is higher than wear parts, but we don't give for competitive reasons, we don't give the details. But basically, within that 80% spare wear mix, spare is higher, wear parts is lower, but for -- as I said, for competitive reasons, we cannot give more detail.
Operator: The last question comes from with Hanneke.
Unknown Analyst: Yes. Just one topic I want to take up Mikko, did I just hear you right that you're not planning for a higher product rate in 2026.
Mikko Keto: So talk about the product versus service mix?
Unknown Analyst: No. If I heard you right on the profitability improvement in products. I think you just said on a previous question that you're not really planning for higher volumes year-over-year. Did I get that right?
Mikko Keto: Yes. So if I look at the market, there's a market estimate that we expect '26 to be still flattish market. And then we are expecting pickup towards end of the '26 and in '27. So that's how it looks. You are right. So the don't plan for growth in '26. We might see the pickup towards the end of '26. It's basically the same what we saw last year. And we have -- we are super appreciate with all engineering orders and engineering. And we expect that we see more and more kind of sanctioning of the expansions and projects then towards end of the year. So you are spot on.
Unknown Analyst: Then the final one because that's relevant. I mean I know we're 1 quarter away from talking about 2026. But if I try and discuss the trajectory here a bit, your run rate gross margin is now sitting around 35%, maybe a bit higher with time, but then it's hard to see a big negative mix shift next year given what you said on products and the fact that PCMV orders have been growing faster than service year-to-date. With the SG&A pace that we are seeing now and what you have previously communicated on [indiscernible] mathematically, we could get to a pretty high margin number for next year. So I'm just curious if we're missing something in this reasoning if you can share some thoughts.
Roland Andersen: I think you're missing a number of things, Gustav. First of all, we can't discuss the '26 guidance here. But the service business this year is not growing -- is not growing in nominal terms, and we have significant FX headwinds. And then when there's no reason to believe we will be a bigger company next year when we look at the order intake. And then it will take a little longer to get to the percentages that may have been indicated earlier on SG&A out of revenue. So I think we will talk a bit more about this in the Capital Market Day and how it's going to play out going forward.
Mikko Keto: And I think, of course, you are looking at full potential of the business, which is really good. But then also that we will need to get a little bit more support from volumes as well. And we are highlighting growth ambition in service and PCV in CMD. And I think based on that one, then you can better estimate kind of what numbers we can hit and when. And as we indicated, service EBITDA is kind of steady, hovering around 20%. And then PCVs same at what is today and turning around the capital business.
Unknown Analyst: Okay. I will just try to bridge it before I let you go because even without sort of estimating any big change here, I mean I don't see a mix shift next year. If you take the current gross margin and you assume that at some point, the one-off costs will end. That takes you to a significantly higher level than what we're seeing right now. So yes, I guess that's my question/statement.
Roland Andersen: Gustav, I think you're fishing for guidance for '26, we're not going to engage. On a one-on-one basis, I'm happy to take you through whatever assumptions you have made and how it may or may not stack up. And I think we should do that. We cannot have a guiding statements here now, and we will have a lot more about this in the CMD.
Operator: Ladies and gentlemen, this was our last question. I would now like to turn the conference back over to the management for any closing remarks.
Mikko Keto: Yes. Thanks very much for the call. And I think we have a really good situation at the moment. We completed the portfolio changes what we needed to complete. We are today, 80% service and PCV, high margin, low risk recurring business for the growth potential and also that we are sitting in a good position long term being a leader in critical minerals copper in particular. So I think I'm quite upbeat about longer-term performance of FLS and we continue to build on this one. Thank you very much for your time.